Operator: Welcome to the Precipio Q2 2025 Shareholder Update Conference Call. [Operator Instructions] Please note that this conference is being recorded. Statements made during this call contain forward-looking statements about our business. You should not place undue reliance on forward-looking statements as these statements are based upon current expectations, forecasts and assumptions and are subject to significant risks and uncertainties. These statements may be identified by words such as may, will, should, could, expect, intend, plan, anticipate, believe, estimate, predict, potential, forecast, continue or the negative of these terms or other words or terms of similar meaning. Risks and uncertainties that could cause our actual results to differ materially from those set forth in any forward-looking statements include, but are not limited to, the matters listed under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2024, which is on file with the Securities and Exchange Commission as well as other risks detailed in our subsequent filings with the Securities and Exchange Commission. These reports are available at www.sec.gov. Statements and information, including forward-looking statements speak only to the date they are provided, and we do not undertake any obligations to publicly update any statements or information, including forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Now let me hand the call over to Ilan Danieli, Precipio's CEO. Please go ahead.
Ilan Danieli: Good afternoon, and thank you all for joining us today to review Precipio's financial and operational results for the second quarter of 2025. I appreciate the questions that were sent in, and I'll do my best to address them. On this call, I'd like to give a bit of color around each of our divisions, the Pathology Services division and our Products division. I'll discuss some of the changes and improvements we're constantly making to the business and lastly, discuss the company's financial status and where we see things going forward. Q2 marked another strong quarter of positive momentum with continued revenue growth, improved margin and progress towards breakeven. Overall, our Pathology Services business is growing at a healthy clip and at an annualized growth rate of about 70%. Our Products revenue grew by 23% from the previous quarter, which represents almost 100% annualized growth rate. This reflects recovery from last year's temporary decline, which was primarily driven by a few customer disruptions. Later on this call, I'll share the steps we're taking to mitigate the impact of future such disruptions and strengthen the stability of our revenue base. Looking briefly at Q3, we have a strong pipeline of new customers in various onboarding stages, and we expect Q3 to show continued growth. Some of these customers were introduced to our distributors, which is a very good step towards scaling up our market penetration. More of that later on this call as well. In terms of gross margin and contribution to the bottom line cash flow, although we had a slight decline in product gross margin, which will likely be reversed next quarter, overall company gross margins improved from 39% to 43%. From a cash perspective, certain strategic investments were made this quarter, such as the expansion of our laboratory space and acquiring key equipment. Those investments have only modestly impacted our near-term trajectory towards breakeven. They are relatively minor in the context of our overall financial position and operational performance. Management remains confident in the strength of our business and continues to believe that we are well positioned to reach breakeven without the need for additional capital. We remain on track to achieve that milestone in 2025. Now turning to a more detailed breakdown of our divisional operation, beginning with Pathology Services. The Pathology Services division continued to deliver consistent revenue and to generate cash for the company. Our sales team continues to bring in new customers and the lab executes on the incoming volume to provide outstanding service to our customers. While outside the scope of Q2, I would like to briefly highlight that in July, we had a new record, exceeding $2 million in Pathology Services revenue in a single month. While these figures are unaudited and fall within Q3, we hope they reflect the continued momentum we're seeing as we enter the second half of the year. Pathology is a business that's driven by patient needs, and as such, they fluctuate daily. So sometimes it's hard to predict whether this was just a really busy month with unusually high volume or that this is a level that we can anticipate going forward. However, as this was not our first record to break, I'm quite confident it's not our last either. Margins continue to increase with scale efficiencies, and our models show us leveling off at around 50% gross margins sometime in 2026. Cash receipts are solid with a high collection rate and low DSO, which means that this division is self-supportive and cash generating. But more importantly, as we've discussed in the past, this division also generates samples for our Products division. These samples are critical to the ongoing development of current and new products we have in the pipeline and ensuring we're able to adequately support our customers. And with that, let's segue to the Products division. As we discussed previously, we had a few ups and downs with our customers due to various operational challenges they faced. Machines went down and required repair, lab techs left and needed to be replaced. These issues caused revenue fluctuation over the past year and resulting in a drop in revenue from some of those customers. Therefore, despite us adding new customers, those revenue drops somewhat masked our current growth of new business. I'm pleased to report that as of this quarter, those issues are behind us, and those customers are back on track with revenue starting to build back up. Alongside new customers coming on board, we expect to see continued customer and revenue growth. One of the things we realized when these customers had to pause their operations is that not only did it obviously impact our revenue, but it also impacted the service level our customer laboratory provided and the doctors has gotten used to. The faster turnaround time that our customer laboratories can deliver, the improved coverage, the increased accuracy, all those are elements that doctors quickly get used to, and they don't like it when those elements get taken away. Therefore, as part of our broader commitment to customer support and service continuity, we implemented an optional send-out continuity program. When we onboard new customers, we offer them the opportunity to designate our clinical laboratory as a backup testing site for our test in case of unexpected service disruptions, such as equipment proven downtime or other problems that can cause them to pause their testing. This arrangement is designed to ensure uninterrupted patient testing and care delivered by our customers to their patients. In our lab, we use the same validated assays, maintain consistent quality and provide rapid turnaround time. Participation in this program is not tied to any purchasing requirements or commercial commitments. This approach ensures our customers can continuously provide consistent service without interruption for these tests, whether they run them in-house in their lab or temporary send patient samples to us. From our perspective, it also enables continuity in revenue when these situations occur, temporarily shifting from product-based revenue to service-based revenue within our Pathology Services division during those periods when customers are unable to run tests in-house. This is a key differentiator for us. Unlike most manufacturers, we operate our own clinical lab, and we use our products clinically on a daily basis just like our customers do. This enables us to serve as a backup testing facility for customers during service disruptions, helping them maintain consistent, high-quality results for their patients and their physicians. The second point I want to make is that we're starting to see an increase in the pipeline generated by our distributors, and this is something we've been working hard to achieve. Up until recently, the vast majority of revenue was from direct sales generated internally by our product commercial team. And while it's great to have direct customers, we've always believed that the way to scale up the business is through our distributors. This is because the toughest part of the sales process is getting to the right person within the customer organization. Our distributors have had years-long relationships with these laboratories. And so the theory is that we can leverage those relationships to accelerate customer penetration by rapidly getting in front of those decision-makers. Now as we've seen, translating that theory into practice is not as simple. Distributor reps have thousands of other products in their bag. And so until we prove ourselves, we have to compete for the reps' mindshare. Additionally, most reps are risk averse and any new customer and new product represents a risk when bringing them into an existing valued customer. So how do we overcome those hurdles? Like in any business, the first few customers are the toughest ones to win. But once we successfully onboard them, then demonstrate that the customer gains clinical and financial value as well as the sales rep making commission from our products, once that happens, the story spreads and other reps gain comfort that our product is going to perform well and make them and their customers' money. Over the next couple of quarters, we're going to build a few of those success stories with several of our distributors and make sure those stories are spread throughout their respective organizations. More to come on that as we continue to make progress with our distributors. Now let's turn to a few comments related to the company finances. First, I'd like to address the recent warrant conversion, which although happened in Q3, we received many questions about it. So I wanted to make sure everyone is clear on what we did and why. Two years ago, back in 2023, the company did a financing with warrants attached to it. Those warrants had an exercise price of approximately $12. And so when the stock price exceeded $12, the investor called us up to exercise the warrants. The investor held approximately 300,000 warrants, which meant that under normal warrant exercise procedures, the investor would have paid the company approximately $3.6 million. That's 300,000 shares -- sorry, 300,000 warrants times $12 and received 300,000 shares, which they would likely turn around and sell on the open market as long as the share price remains above $12, thereby making a margin on those warrants. Issuing the shares would have resulted in a substantial increase in the total share count, potentially placing downward pressure on the stock price. From a shareholder value perspective, we determined that such dilution was not in the best interest of our shareholders. Moreover, given the company's current financial position, management concluded the potential capital raise, approximately $3.6 million, was not essential at this time, particularly at the cost of significant equity dilution. Following careful consideration, we engaged with the investor and reached an agreement to structure the warrant exercise in a way that balanced capital inflow with dilution control. Under the terms of the agreement, approximately 1/3 of the warrants or around 100,000 were exercised in a standard manner, generating approximately $1.2 million in cash to the company in exchange for 100,000 shares. The remaining 2/3 of approximately 200,000 warrants are exercised on a cashless basis, resulting in no additional cash to the company, but also a significantly lower number of shares issued to the investor. This structure was intentionally designed to reduce the number of new shares entering the market, thereby minimizing dilution and any potential downward pressure to our existing share price. It also reflects our commitment to supporting our positive momentum we've seen in our share price over the past several months while responding -- responsibly managing our capital structure, which brings me to our next point of the discussion and probably the question that we were most asked, why did the stock triple in the last quarter? Although my answer is nothing more than speculation, we don't really know what drives investor and market behavior. I think there are 2 key driving factors I'd like to share with you. The first is company performance. This quarter will be the third consecutive quarter of solid revenue growth, improved margins and reduced needs of cash. All these put us on a clear path to breakeven and subsequently to profitability, which I think makes us a very attractive company, especially relative to our revenues, valuation and market cap. Second, we've begun to tell our story. Our company usually receives at least 10 inquiries a week from banks, funds, family offices and individual investors who want to learn more about the company. Up until last quarter, we would respond politely and say we are not conducting such conversations at this time. For the last 2 years, we intentionally remained in stealth mode, kept our head down and focused on growing the business. This quarter, when we finally began to develop a good track record we could point to, we began taking those calls and speaking with various investors to tell our story. And so I think our situation is gradually changing from a virtually unknown story to one that more people are starting to follow. And I think that following has translated into more interest in our company and an increase in demand relative to the limited supply of our shares in the open market. We plan to continue this approach of gradually coming out to the market and telling our story. Our performance continues to improve and so will our story. And alongside that, we'll engage in more public company activities such as participating in investor conferences and others. This is an exciting time to be part of our company. We recently celebrated 14 years, and it's certainly been quite a climb. We have so much more to accomplish, but we also have come a long way, and I think this is a pivotal time for Precipio. With that, I'd like to thank you for your ongoing support and looking forward to our next shareholder call. Have a nice weekend.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.